Disclaimer*: This transcript is designed to be used alongside the freely available audio recording on this page. Timestamps within the transcript are designed to help you navigate the audio should the corresponding text be unclear. The machine-assisted output provided is partly edited and is designed as a guide.:
Operator: 0:02 Hello, and welcome to the Valens Company's Fourth Quarter and Fiscal Year 2021 Financial Results Conference Call. At this time, all participants are in a listen-only mode. A brief question-and-answer session will follow the formal presentation. [Operator Instructions] As a reminder, this conference is being recorded. 0:30 It is now my pleasure to introduce your host, Everett Knight, Executive Vice President of Corporate Development and Capital Markets of the Valens Company. Thank you, Everett, please go ahead.
Everett Knight: 0:42 Thank you, operator. Good morning. Before we begin, on behalf of the Valens Company, we would like to give our warmest, heartfelt sympathy to any of our stakeholders in Ukraine or Russia or those who have family and friends in either country that are being unwittingly subject to an unfortunate political agenda that is unfolding there today. Our thoughts are with you. 1:06 Welcome to the Valens Company's Fourth Quarter and Fiscal Year 2021 Financial Results Conference Call for the period ended November 30, 2021. A replay of this call will be archived on the Investor Relations section of the Valens Company's website at thevalenscompany.com/investors. 1:25 Before we begin, please let me remind you that during the course of this conference call, Valens' management may make statements, including with respect to management's expectations or estimates of future performance. All such statements other than statements of historical facts constitute forward-looking information or forward-looking statements within the meaning of the applicable securities laws and are based on expectations, estimates and projections as of the date hereof. Specific forward-looking statements include, without limitation, all disclosures regarding future results of operations, economic conditions and anticipated courses of action. 2:01 These forward-looking statements are subject to a number of risks and uncertainties that may cause actual results to differ materially from expectations. For more information on the company’s risks and uncertainties related to forward-looking statements, please refer to our latest annual information form or our latest management's discussion and analysis, otherwise known as MD&A, each filed as with the Canadian securities regulatory authorities at sedar.com or at The Valens Company's website at thevalenscompany.com or at edgar.com. 2:33 The risks described in the annual information form, which may cause the actual financial results, performance or achievements of the Valens Company to be materially different from estimated future results, performance or achievements expressed by forward-looking information or forward-looking statements are hereby incorporated by reference herein. Although these forward-looking statements reflect management’s current beliefs and reasonable assumptions based on current available information available to management at the date hereof, we cannot be certain that of the actual results that will be consistent with the forward-looking statements in the future. We caution you not to place undue reliance upon such forward-looking results. For any reconciliation of non-GAAP measures, measured and discussed, please consult our latest MD&A as filed on SEDAR and EDGAR. 3:18 Joining me on the call today are Mr. Tyler Robson, Chief Executive Officer; Mr. Sunil Gandhi, Chief Financial Officer; and Mr. Jeff Fallows, President. With that, I would now like to hand the call over to Tyler. Tyler, please go ahead.
Tyler Robson: 3:34 Thank you, Everett, and welcome to everyone that has joined our earnings call to discuss our results for the fourth quarter and fiscal year 2021 ended November 30, 2021. To kick this off, I'll start by saying we're disappointed in the results to say the least, and we're not complacent and we're not satisfied with the numbers that we did put up in the quarter. And we've done multiple things since year-ended November to right size the ship, not only internally, but really focus on fundamentals. Before I give my thoughts in the quarter, I just wanted to thank our shareholders as we acknowledge the challenging capital markets environment and our share price. I assure you, we're suffering alongside with you as shareholders, and we want you to know that in nowhere are we happy with the situation and doing everything we can to ensure the public valuation accurately reflects the value we have created in our company. 4:21 Overall, our financial performance in this quarter was not up to my expectation, but we have made clear progress in the execution of our strategy, and I believe it sets us up for a successful 2022. Since November, we have not been complacent. We are now -- we have now made incremental changes in our business plan that set us better up for the year. In the fourth quarter, we were only firing on two or three cylinders. Provincial sales in Green Roads showed strong growth despite a very difficult industry drop back. However, one of our cylinders, B2B was not firing as we reconstructed it for future growth. 4:54 As a result, our B2B revenue significantly declined in Q4 as we finally made the shift, the aggressive shift away from fewer smaller companies to fewer, bigger, better. We did that for two reasons. The lack of consistency in forecasting in some of our clients and the inefficient non-profitable business model they were running. We expect to bring -- 2022 expect to bring multiple bankruptcies in a really choppy sector, and we wanted to make sure we got away from them sooner than later. 5:24 An important takeaway from our investors despite a decline in revenue quarter-over-quarter, we were able to grow our gross profit margin meaningfully, which represents an early sign that the decisions we made in 2021 are moving the business in the right direction. Looking forward, we are entering 2022 best positioned for growth as we begin to realize the revenue benefits of our successful listings push back in 2021. We have continued to take market share into the New Year. With the backdrop, investors can expect revenue growth back on track this year. 5:55 Operationally, we commissioned the K2 and Pommies facilities and acquired LYF Food Technologies, giving us access to next-generation product development capabilities and allowing us to drive economies of scale through automation, launch flower, pre-roll, topicals, edibles and new product verticals. Subsequent to quarter end, we believe manufacturing cannabis-infused beverages at Pommies facility. Innovation is the core of our story for 2022. We manufactured a range of innovative products, including Contra Band Candyland flower, Verse, Black Cherry and Key Lime Seltzer and a line-up of concentrates. 6:29 In summary, we made real strides in the execution of our strategy in 2021, despite a competitive and challenging operating environment in Canada and globally. However, we lacked revenue growth with the transition and investors should expect. With the transition behind us, we are now a top-tier brand, branded cannabis company in Canada with a portfolio of exciting –with exciting brands that we are best positioned to grow our market share in Canada target categories. 6:56 Importantly, we do not believe the value segment – the significant strategic transition we successfully completed in 2021 is currently reflected in our share price. Everyone in our company is aligned and focused on doing their part to fix the situation. We look forward to delivering our 2022 commitments and invite all investors to measure us against the financial and operational targets we've established at our Investor Day. 7:17 With that overview, I'll turn the call over to Jeff Fallows, President of the Valens Company, to dive deeper into our operational achievements and strategic initiatives.
Jeffrey Fallows: 7:24 Thank you, Tyler. Looking back over 2021, we made big strategic strides in the midst of a tough global environment. However, as Tyler mentioned, it is very clear we still have work to do. After an acquisitive 2021, we entered 2022 with Canada's top innovative cannabis platform, a joint B2C and B2B offering that mimics large CPG companies and offers a unique opportunity for investors to gain access to higher-margin branded products. 7:55 Furthermore, the strategic decision to focus on larger, more consistent customers enabled Valens to operate more efficiently, generate higher margins through higher volume outputs, provide consistent manufacturing revenue and improve working capital. We are already starting to see momentum from this realignment and anticipate the benefits to flow through to revenue and gross margin growth through 2022. 8:20 We successfully increased our Canada-wide provincial listings by 21% to 219 at the end of Q4 2021 compared to 181 at the end of Q3 2021. We further expanded this to 255 at the end of January 2022. As expected, we have seen this translate into sales momentum in Q1 2022, and investors should expect growth in this area. Going forward, we will be removing underperforming listings that we have accumulated through acquisition and putting more resources into successful listings to drive utilization and profitability. 8:58 We introduced product listings as a benchmark metric during 2021 as we believed at the time that this was the best way to demonstrate to our investors the progress we were making in our branded product strategy. Starting in Q1, we will no longer be referencing this metric, but instead, we'll be giving our shareholders update on our market share. We now have a well-placed portfolio of brands in the market and expect to see strong momentum and market share gains from these and other listings achieved in 2021 throughout 2022. Said more succinctly, we are now a branded product company and market share will be a key indicator of our performance. 9:37 I want to highlight some of our product and brand achievements in 2021. Verse BC God Bud 28g was the number two best-selling SKU across all categories in Alberta, British Columbia, Ontario and Saskatchewan during the three months ended January 2022 based on Hifyre (ph) data. Estimated share of the cannabis-infused beverage category increased to 10% in Q4 2021 from 9% in Q3 in Alberta, British Columbia, Ontario and Saskatchewan based on Hifyre data before the commissioning of the Pommies facility. This puts us in the top three in market share in Canada. One of our partner brands hold the number one position in topicals in Canada. In January 2022, Valens achieved the eighth highest market share of all licensed producers in Ontario with Verse BC God Bud 28g as the number one best-selling SKU across all categories based on OCS depletion data, encompassing online sales to consumers and wholesale sales to private retailers. 10:39 With the majority of our large capital projects behind us, we expect to showcase the Valens low-cost manufacturing capabilities in 2022 with the launch of several new products within our verses and make a brand portfolio designed to drive greater volumes and increased production efficiencies. 10:56 Going on to our US strategy. Green Roads generated $5.7 million of revenue in its first full quarter of consolidation from $4.7 million in a partial third quarter consolidation. Subsequent to quarter end, Green Roads launched its first-ever brand campaign on the day. This campaign was designed to showcase Green Roads solutions, simplify the buy decision and increase the frequency of interaction with our customers. Through the launch of this brand campaign and a newly rationalized product portfolio, we aim to deepen our penetration into existing channels, including convenience, smoke and vape and independent pharmacies as well as expand our reach into new channels, including chain pharmacies, mass market retail, specialty stores and pet stores. 11:43 We are focused on maximizing our manufacturing capabilities across the Green Roads product line with opportunities to leverage Valens' industry relationships to drive additional B2B partnerships, increase asset utilization, support a strong margin profile and capture additional market share. With a sophisticated online marketing strategy and a robust e-commerce platform, we have realigned our distribution channel strategy to better leverage the online direct-to-consumer market. Our e-commerce platform, along with our portfolio repositioning will contribute meaningfully to top line revenue growth and continue to improve our margin profile. 12:21 As investors have seen from recent announcements, we have now entered the growth and optimized phases of our business plan, which are focused on maximizing sell-through, driving higher utilization across our facilities and pursuing optimization initiatives to ensure we remain operationally agile. We are working to position ourselves competitively in the market, particularly as we navigate the ongoing logistical and inflationary challenges and retail price compression across several categories in the current Canadian environment. 12:53 As we discussed during Investor Day, through our integration initiatives, we have eliminated a number of overlapping functions and centralized some shared services across different business segments. We have invested in automation, such as the commissioning of the Pommies facility, an automated edible manufacturing equipment, packaging lines and pre-roll machines. We expect further automation to happen over the coming months as we continue to push towards profitability. We are also optimizing our product portfolio to eliminate both underperforming product SKUs and those that were not aligned with our go-forward strategy as well as realigning certain brand offerings to better address consumer demand opportunities. 13:36 Finally, we have made advancements in our biomass sourcing strategy by leveraging existing relationships and buying power as the largest purchaser in the country to source biomass at low cost. While we believe these changes will make material positive financial and competitive impacts on our business, there is still much work to be done. We entered 2022 as an innovative, branded product company with a larger total addressable market, a broader product offering and opportunities for growth and greater competitive advantages than we had when we started 2021. This was the promise we made to our shareholders at the beginning of last year. 14:17 Looking forward, we laid out some very specific benchmarks in our Investor Day that clearly set out our objectives for 2022. Number 1, to be a top five player in Canada in vapes, edibles and beverages. Number 2, to be a top 10 player in Canada in flower products. Number 3, achieve gross margin improvement and positive EBITDA by Q4 2022. And number 4, expansion in the US market as permissible under federal regulation. 14:52 Finally, we rolled out revenue and EBITDA guidance for 2023. Revenue of a minimum about $225 million and adjusted EBITDA margins of greater than 10%. I'll now turn the call over to Everett to discuss industry trends and capital markets activities. Everett, please go ahead.
Everett Knight: 15:12 Thank you, Jeff. In the fourth quarter, we successfully closed the acquisition of Verse Cannabis and Citizen Stash, which propelled Valens' entry into the flower and pre-roll segment, which represents two of the largest categories in the Canadian cannabis market, currently accounting for over 70% of retail sales. We view the combination of these recently closed acquisitions to strongly position Valens' branded products across the value chain, significantly bolstering our innovative low-cost platform into flower. As consumers look for new and innovative products in the market, infused pre-rolls are anticipated to gain market share in Canada. The infused pre-rolled subcategory is growing rapidly and is positioned to be consumers' go-to product over non-infused pre-rolls as in mature markets in the US 16:05 As the subcategory represents 46% of all pre-roll sales in California in 2021, according to BDSA, with only a fraction of that in Canada today. Valens is well suited for significant gains in this category given its expertise in concentrates, pre-roll manufacturing and innovating in categories where complexities are apparent. 16:32 Subsequent to the quarter end, Valens began trading on the NASDAQ Capital Markets, which represents yet another important milestone that reflects our commitment to all shareholders as we continue to advance our global growth initiatives by capitalizing on the legalization of cannabis around the world and strengthening our corporate governance. We are already starting to see the benefits of trading on the NASDAQ with overall liquidity improving 47.2% just two months after listing. 17:00 It was a blockbuster year for IPOs in the NASDAQ along with companies switching to the NASDAQ in search for liquidity. In 2021, there were 753 IPOs on the NASDAQ compared to an average of approximately 161 annual IPOs in the last 10 years on the NASDAQ, representing a 368% increase. As the NASDAQ became more crowded in 2021, increasing awareness became an issue amongst recently listed companies. Management continues to believe that the long-term benefits of trading on the NASDAQ will outweigh the short-term volatility as experienced in our share price at the start of 2022. 17:41 Currently, institutional ownership in the cannabis sector is approximately 44% lower than the average of mature CPG industries as cannabis is still in the early innings of attracting institutional capital. We are already seeing the beginning to see capital inflows amongst a broader base of institutions as they come on board as investors. As part of our capital market strategy, we anticipate institutional holdings to increase with ownership percentage in parallel to that of our US listed Canadian peers as we continue to broaden institutional and public outreach initiatives through increased participation in investor conferences, marketing road shows and media relation activities. As part of our Investor Day initiatives, we have teamed up with Benzinga, a well-known financial media and news company, to live stream the Investor Day conference to its approximately 10 million active users. 18:38 We continue to believe that listing on the NASDAQ was the correct decision for our shareholders and with Valens share price at its current levels, we believe this represents an attractive entry point for investors over the long term. We believe with our joint B2C and B2B platform that mirrors large CPG companies, it offers a unique opportunity for investors to gain access to a differentiated business model than our US listed Canadian peers. 19:06 We will continue to update the capital markets community of our activities throughout 2022. Further integration, opportunistic M&A and CPG partnerships that would complement our low-cost innovative manufacturing platform will be the focus in 2022. With the US being at the top of our list for such opportunities, we are working to provide our shareholders with greater exposure to this massive market in a variety of strategic verticals subject to changes in the US federal regulatory landscape. 19:37 A bright spot in our low-cost manufacturing platform is the ability to balance spot biomass purchases with longer-term contract growing arrangements to ensure consistency of supply at predictable prices, with further declines in biomass pricing expected in 2022, this provides Valens with a significant tailwind to leverage its position as one of the largest bulk purchasers of biomass in the Canadian market, keeping input costs low while driving higher margins through branded sales and utilization. All of this at a time when inflation cost pressures are reducing margins across all other industries. 20:18 Our recent Ontario Auditor General report highlights that there are nearly 1,800 cannabis products available for sale in the province of Ontario with over 800 cannabis licenses competing for the Canadian cannabis marketplace today, we expect 2022 will be a challenging environment for undercapitalized companies and with further bankruptcies anticipated. We believe only companies like ours with distinct competitive cost advantages and advanced product capabilities will thrive and take market share. 20:51 We now have one of the most sophisticated low-cost manufacturing platforms in Canada with the capabilities to capture additional market share through comprehensive manufacturing and distribution platform, which utilizes innovation and automation with even more coming online over the next few months. Next, use of contract grow partners, combined with spot purchases, provides for efficient use of capital. And last, speed to market with manufacturing new innovative products as consumer preferences constantly evolve in this environment. 21:24 We are a very different business than we were last year with 75% to 85% of our revenues now in our control and with our new refreshed B2B contracts. And as a management team, we continue to believe that Valens is undervalued compared to its peers. This year, we are hyper-focused on our business fundamentals with the expectation to drive revenue growth, achieve positive EBITDA and attain deeper US CBD market penetration. We believe the success of these initiatives should shrink the valuation gap between Valens and our peers. In addition, we believe our recently listing on the NASDAQ was the right decision as it is already showing an increase in liquidity and expanding our reach to investors in the US. 22:13 With that, I'll turn it over to Sunil.
Sunil Gandhi: 22:16 Thank you, Everett. I will cover the financial results for the period just ended. Net revenue decreased by 12.3% to $18.4 million for the three months ended November 30, 2021, compared to $21 million in Q3 of 2021. This decrease in revenue was primarily driven by the transition of our B2B business to align with the fewer, bigger, better strategy to reduce working capital risk in addition to the negative impact of the floods in British Columbia, which resulted in significant supply chain disruptions. Specifically, the B2B revenue decreased by 53.9% to $4.1 million for the three months ended November 30, 2021, as we strategically transitioned away from our underperforming B2B partners during this quarter. Offsetting this decline, however, was a 31.7% increase in provincial sales and a 21.3% increase in revenue from Green Roads, reflecting the first full quarter of consolidation from Q3 2021. 23:23 Adjusted gross profit margin for the fourth quarter was 34.1% compared to 27.4% in Q3. The improved adjusted gross margin in our most recent quarter compared to Q3 was attributable to improved efficiencies in the Canadian operations by leveraging the newly completed K2 facility as well as the increased contribution of the Green Roads business to our overall sales mix. The adjusted gross profit margin is normalized for the impact associated with $3.6 million in inventory write-downs, which were mainly related to costs associated with discontinuing previous brand partner or B2B relations, namely faulty hardware and out-of-date packaging. 24:07 While we are making strides towards improving the margins in our Canadian business, we are still performing below our long-term expectations due to the inherent inefficiency of new production processes, especially those associated with new product launches. In addition, the impact of a globally tight labor market and supply chain challenges is resulting in inflationary cost pressures and the Canadian market continues to face a heightened level of price compression at the retail level. 2021 was an increasingly complex environment, not only as order flow ramped up significantly, but also due to heightened lead times and increased costs exacerbated from the pandemic. 24:50 So looking forward to 2022, we do anticipate some margin headwinds caused by increased supply chain-related costs and continued retail price compression. That being said, we still anticipate that adjusted gross profit will continue to improve from 2021 levels as we optimize product mix towards branded sales and drive increased utilization, lower biomass pricing and make our manufacturing processes more efficient through automation. 25:17 Operating expenses were $25.7 million in the quarter compared to $19.5 million in Q3 2021. The increase in operating expenses compared to the previous quarter was due to a combination of factors such as the reduction in the Canadian Emergency Wage Subsidy of $2.9 million as well as the inclusion of the Citizen Stash business with increased labor costs, the inclusion of a full quarter of the Green Roads business and increased sales and marketing costs related to our own brands. As previously announced, we are expecting to rationalize our operating cost footprint through our integration initiatives in 2022. 25:58 So Valens ended the fourth quarter with an adjusted EBITDA of negative $13.3 million compared to negative $6.2 million in Q3. The decrease in adjusted EBITDA was mainly driven by the flurry of activity as we integrated many acquisitions as well as the reduction in the Canadian Emergency Wage Subsidy and operating costs would simply grew faster than our revenues. We are confident that the combination of our integration initiative in 2022 and our anticipated market share and revenue gains will result in positive EBITDA by Q4 2022. 26:35 From a balance sheet perspective, Valens continues to improve its working capital balances to ensure a strong position. As at November 30, 2021, overall receivables of $28.6 million included $27 million of trade receivables from customers, with the balance being made up of other non-trade receivables. The balance of trade receivables as at November 30, declined by 21.5% from the balance outstanding in the previous quarter. This was in accordance with the realignment of our B2B business. Receivables were elevated in 2021 as B2B comprised a substantial portion of the historical revenue base. However, the ongoing shift towards the B2C and retail channel is already showing improvements from faster payment cycles and a decrease in overall receivables, and we expect this trend to continue throughout 2022. 27:32 In addition, Valens has subsequently collected, has trade accounts payables outstanding with the same customers or has recorded a trade receivables valuation allowance provision, representing 76% of the total receivables balance that was outstanding as at November 30, 2021. Now as at November 30, the company had $42 million of inventory on hand compared to $29.6 million as at the previous quarter. 28:00 The increase in dried cannabis inventory was mainly attributed to the inclusion of Citizen Stash as well as in preparation of new brand offerings from Contra Band and Verse. The increase in extracted cannabis inventory was attributable to new innovative product launches in relation to our branded strategy as we try to take advantage of outdoor biomass that came off the field in October. 28:25 In addition, the company has had to increase safety stock inventory levels due to the disruptive supply chain environment to ensure supply to key customers is not compromised. Valens expect inventory levels to normalize in the months ahead as we are targeting inventory on hand of approximately 90 days of sales by the end of Q4 2022. 28:51 So Valens ended the quarter with a cash and marketable securities position of $19.1 million as at November 30 compared to $32.5 million in cash and restricted cash as at August 31, 2021, representing an overall cash burn rate of $13.3 million, had an improvement from Q3. Subsequent to quarter end, the company raised $40 million in debt financing. The proceeds of the debt financing were used to repay previous existing debt and will be used for general working capital purposes. We expect to improve on cash burn rates starting in Q2 of this -- of 2022 and into the back half of the year with the implementation of the $10 million in annual cost efficiencies that was announced in early February, which are largely being sourced from the elimination of overlapping functions across different business segments, the reduction in manufacturing and sourcing costs and realization of M&A synergies. 29:48 Furthermore, with investments in large capital projects largely behind us, we expect capital expenditures to be significantly lower in 2022 as compared to the previous three years. The combination of realizing cost efficiencies in the second half of fiscal 2022 and reduced capital expenditures is expected to result in a meaningful improvement in our cash burn rate in the back half of the year, all based on the path towards becoming EBITDA positive by Q4. 30:17 So with that, I will turn the call over to the operator to open the line for the Q&A session.
Operator: 30:24 Thank you. We will now conduct the question-and-answer session. [Operator Instructions] Our first question today is coming from Gerald Pascarelli of Cowen. Please go ahead.
Gerald Pascarelli: 31:03 Hi, good morning. Thank you very much for taking the question. I just wanted to try to bridge the margin progression. Obviously, nice expansion sequentially here in the fourth quarter. You did have a full quarter's benefit of Green Roads. And so looking forward, is the main driver behind the margin progression just positive mix shifts to your branded products in Canada as well as Green Roads? Do you expect both of those to go up as a percentage of your revenues? Or do you have any rate increases embedded in there, just in particular, given the current environment that CPG is operating in? Any color there would be helpful.
Tyler Robson: 31:47 Yes, absolutely. Thanks for the question. I'll pass it to Sunil to tackle that one.
Sunil Gandhi: 31:50 Yes. The progression in gross margin is expected to come from both sides of improved sales mix on the branded and the increased contribution of Green Roads over the course of the full year as well as our internal improvements in operating efficiency. We would not have factored in rate increases into our gross margin improvement profile for this year.
Gerald Pascarelli: 32:13 Got it. That’s – that’s very helpful. Just last one for me is on CBD. It seems like you are certainly increasing your penetration across the retail landscape in addition to e-commerce. Is there any broad color you can provide on how sales have been trending maybe post the quarter? Looking at the $5.7 million compared to the $4.7 million, it seems like sales would have been roughly flattish, right? But if you factored in the full quarter in 3Q, so just any color on any potential revenue progression that you're seeing at the Green Roads or whatever you are seeing would be helpful? Thank you.
Tyler Robson: 32:54 Yes. Jeff, why don't you take that one?
Jeffrey Fallows: 32:56 For sure. Yes. So there would be a slight growth Q3 to Q4 there from that implied partial quarter in Q3. But I think largely, it was flat. That would be particularly as we're sort of getting our hands in on the business. Again, launching the strategies that you're now seeing come to bear, including some product rationalization, et cetera. As we look to Q1 and into 2022, obviously, we don't give guidance. But what I can say is the -- our Q1 from a Green Roads perspective is subject to, obviously, some seasonality and related to both the Christmas season and early January New Year season. As you know, in the US, a large part of the business gets done on the Black Friday and had sort of a lagging effect into December.
Gerald Pascarelli: 33:49 Got it. Thank you very much for the color. I will hop back into the queue.
Operator: 33:54 Thank you. Our next question is coming from Neal Gilmer of Haywood Securities. Please go ahead.
Neal Gilmer: 34:01 Yes. Good morning, everyone. I was just wondering your thoughts on how we should be thinking of the B2B segment from here. Was this sort of decline that we saw bring the B2B segment to its trough? Does it grow from here when you're just focused on those fewer, bigger, better? Just sort of wondering how we should be thinking of that aside from, obviously, your own branded products into the marketplace.
Tyler Robson: 34:26 Yes, absolutely. Thanks for the question, Neal. I would say the best way to think about it is growth. We have right size of the ship in B2B and what you're going to see is growth coming out of the B2B segment. Now that we've effectively moved on from some of the other people and the relationships have now materialized, and you will see growth.
Neal Gilmer: 34:44 Okay. Thanks for that Tyler. My second question, I guess, maybe just sort of your thoughts on your strategy to capture market share, your comment to move away from talking about product listings to capturing market share and also acknowledging if you're operating in a competitive marketplace. What sort of levers are you guys looking at to try to make sure that you capture that market share and grow it over the course of '22?
Tyler Robson: 35:08 Yes. That's a great question. So I think the story for 2022 right now is distribution. 2021, we spent a tremendous amount of time on acquisitions and integration and innovation of products. All of that is now in there, and we've seen some products go out late January, early February. So right now, the simple tale of the tape for Valens is moving cases. We're going to open up distribution and that's where the growth is going to come from.
Neal Gilmer: 35:34 Okay. Thanks, Tyler.
Operator: 35:37 Thank you. Our next question is coming from Andrew Partheniou of Stifel. Please go ahead.
Andrew Partheniou: 35:46 Hi, good morning. Thanks for taking my questions. Maybe just starting off with my home province in Quebec, wondering if you could provide any updates? And maybe just thinking about it in a big picture sense, what kind of market share do you think you can capture in the province?
Everett Knight: 36:08 Yes. Thank you, Andrew. It's Everett here. I'd say we're just in the beginning innings of that strategy taking fruition. To be clear, actually, in the guidance we put out in our objectives, that does not include Quebec today. So all of those benchmarks that investors should be guiding us to and executing on doesn't include it, I would say that's upside. We're going to give more information on that throughout the year, and we'll give more transparency as it comes to fruition.
Andrew Partheniou: 36:42 Thanks for that and my second question is on your listings and where you're at. You won a significant number of listings in the past several months, but I'm assuming it takes some time to ship the products and have them on the shelf after you win a listing. So I'm wondering if you can quantify or give us a sense of how many listings have yet to be shipped that you've already won? And if possible, if we could know any product formats like power edibles that make up a large percentage of those listings that have yet to be shipped?
Everett Knight: 37:20 Sure. Andrew, yes. So you can expect of that $255 million number as of January, 90% of those now have been in the market. It's probably kind of in the back half of Q1. So you can see that. I'd encourage all investors to look at the provincial sales increases on Hifyre that we've seen into Q1. But the remaining, we expect here shortly, but that does not include the new submissions that we've asked for in recent submissions for the OCS as well as other provinces as far as products go, I'll turn it over to Tyler.
Tyler Robson: 37:57 Yes. Obviously, you're going to see innovation go live throughout the year, but I would say the biggest ones to look for, for Valens right now, as infused pre-rolls start to roll out, beverages, the innovation in beverages has been material, not only what's inside the can, but the re-sealable lid and a packaging innovation that we can do stuff no one else is thinking about and then edibles. I think edibles is going to start to move the needle as you see the growth in the US. continue to deliver. I think it will start to open up, up in Canada. So I think those are the biggest growth opportunities for us. And then again, just really getting back to distribution. It wasn't a key focus as far as last year was getting the right products under the right brands and the right provincial boards. Now it's about getting velocity behind them.
Andrew Partheniou: 38:38 Thanks for that. I will get back in the queue.
Operator: 38:45 Thank you. Our next question is coming from Frederico Gomes of ATB.
Frederico Gomes: 38:55 Yeah. Good morning. Thank you for taking my questions. Could you provide more color on your capital position? So I understand that you guys are expecting to improve the cash burn there. But given your liquidity right now, should we expect any equity raise this year? And maybe could you give any sort of guidance of your expected cash use in 2022? Thank you.
Tyler Robson: 39:22 Yes. We -- first of all, to be clear, I think we expected the cash burn rate to improve along with the tracking of EBITDA. So as EBITDA is expected to improve, the cash burn rate will improve over the course of the year. I'd just say this, we raised $40 million subsequent to quarter end. Our integration initiative will reduce that cash burn in the coming quarters. So we're comfortable with our current balance sheet position.
Frederico Gomes: 39:47 Okay. Thank you. And then just, can you guys talk about the earn-outs that you have in place for some of the acquisitions you've done. So more specifically, I believe you have an earn-out for up to $20 million for Green Roads in 2022 and then $70 million for LYF Food in 2022 and 2023. So I'm just curious, as we approach those deadlines, how are you seeing the performance of those companies? And how likely is it that you will have to pay those earn-outs over the following quarters? Thank you.
Jeffrey Fallows: 40:23 Yes. Thanks for that question. This is Jeff. Obviously, that would come in line with providing some guidance, which we're not typically doing here. What I can say is twofold, number 1, from a LYF Food technologies perspective in terms of earn-outs, they were staged over a period of time. I can say that we have not paid an earn-out as of yet from that transaction. But secondly, I can say from an overall review of the acquisitions that we made in 2021 and as we look at our business plan and strategy for 2022, we continue to be very comfortable and very happy with where we're sitting. And that's the best guidance we're going to be able to give in terms of payouts of earn-outs right now.
Frederico Gomes: 41:13 Okay. Thank you. I will get back in the queue.
Operator: 41:18 [Operator Instructions] Our next question is coming from Rahul Sarugaser of Raymond James.
Rahul Sarugaser: 41:30 Morning, gentlemen. Thank you so much for taking our questions. So first, I'd like to look a little bit at the US CBD sales. Last quarter, it was 4.7, I believe, on the partial quarter. This is a 5.7 for the full quarter. Back in the envelope, it would have suggested it should have been stronger than that. So could you give us a little more color in terms of why the number came in at 5.7, is that seasonal weakness? And how are you sort of seeing that business for 2022?
Jeffrey Fallows: 41:59 Yes. So again, as we took control of the business and started to implement some changes, you can understand that when we acquired the business, it had come out of a period of not a lot of capital availability, and they went through a lengthy sales process with us in terms of a lot of due diligence. So when we got -- when we got in there and we started to work with the management team, there was a number of initiatives we had to put in place, including looking at the product portfolio and realigning it, getting the brand campaign launching, et cetera. So I'd say -- that's really what you're seeing from the Q4 performance from Green Roads. But I also look, as we look into 2022, we're very comfortable with the trajectory that we're seeing now in that business. And as we said in our opening remarks, we're expecting growth from that business segment.
Rahul Sarugaser: 42:48 Great. Thanks Jeff. So just as a follow-up then, given the -- essentially the guidance that you guys put out on your Investor Day, to Board being EBITDA positive in the back half of this year. And given sort of the relative cost profile and let's assume some cost mitigation in that meantime, effective envelope would imply sort of a three times growth in sales from where you are. So not that that's impossible, but how should we be thinking about the split of that between sort of the B2B, the direct-to-consumer as well and then in the US.?
Jeffrey Fallows: 43:27 Maybe I'll look at that. I'll address that a little bit and also I'll turn to some of my partners here to answer as well. But again, achieving EBITDA positiveness, we're not expecting that to all come from revenue growth. Right? So as we've talked about, there's been an aggressive initiative launched already towards $10 million in savings. We also guided that there will be an additional $10 million in savings to come in 2022, applying that against our expectation of revenue growth in the quarter. That's where we get -- or in the coming quarters, that's where we get our view on positive EBITDA. And again, we're reiterating today that we're comfortable with that perspective. In terms of the breakout of where we expect some of that growth to come from north and south of the border, again, we're expecting by plus or minus 35% to 40% of that to come south of the border.
Rahul Sarugaser: 44:24 Perfect. Thanks so much, Jeff. Unless if anymore comments, we will get back in the queue.
Operator: 44:32 Thank you. Ladies and gentlemen, at this time, I'd like to turn the floor back over to Mr. Robson for closing comments.
Tyler Robson: 44:38 Thank you, operator, and everybody, for joining us today. To conclude, we are proud of the progress we made over the course of 2021. We look forward to showing investors how we can deliver our strategic goals throughout 2022. 2021 was an acquisitive year for the Valens -- for Valens and we are confident in our ability to further streamline our operations while growing top and bottom line. As we enter 2022, as an innovative branded manufacturing company, with that has invested in strategic automation. 45:12 In 2022, we expect to take market share, expand provincial sales and further growing our US presence. We believe we are well positioned for future growth. I can speak for the rest of our management team when I say we are now more excited than ever about the future of Valens as we continue to advance towards profitability. Again, I would like to thank everyone for their support and with that, I'll turn the call back to the operator to close. Thank you.
Operator: 45:34 Ladies and gentlemen, this concludes today's event. You may disconnect your lines and walk off the webcast at this time and enjoy the rest of your day.